Operator: Hello, everyone. Thank you for joining us and welcome to the Concentrix Fourth Quarter and Fiscal Year 2025 Financial Results Conference Call. After today's prepared remarks, we will host a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. To withdraw your question, press 1 again. I will now hand the conference over to Sara Buda, Vice President of Investor Relations. Please go ahead.
Sara Buda: Great. Thank you, operator, and good morning, everyone. Welcome to the Concentrix Fourth Quarter and Fiscal 2025 Earnings Call. This call is the property of Concentrix Corporation and may not be recorded or rebroadcast without the written permission of Concentrix Corporation. This call contains forward-looking statements that address our future and expected performance and that, by their nature, address matters that are uncertain. These uncertainties may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements as a result of new information or future expectations, events, or developments. Please refer to today's earnings release and our most recent filings with the SEC for additional information regarding uncertainties that could affect our future financial results. This includes the risk factors provided in our annual report on Form 10-K and our other public filings with the SEC. Also during the call, we will discuss non-GAAP financial measures, including adjusted free cash flow, non-GAAP operating income, non-GAAP operating margin, adjusted EBITDA, adjusted EBITDA non-GAAP net income, non-GAAP EPS, and constant currency revenue growth. Reconciliation of these non-GAAP measures is available in the news release and on the company's Investor Relations website under Financials. With me on the call today are Christopher A. Caldwell, our President and CEO, and Andre S. Valentine, our Chief Financial Officer. Christopher A. Caldwell will provide a summary of our operating performance and growth strategy, and Andre S. Valentine will cover our financial results and business outlook. And then we will open up the call for your questions. Now I'll turn the call over to Christopher A. Caldwell.
Christopher A. Caldwell: Thank you, Sara. Hello, everyone, and thank you for joining us today for our fourth quarter and fiscal year 2025 earnings call. Going to start off with an overview of 2025 and provide some thoughts on the year ahead before I hand it over to Andre S. Valentine who will discuss details of our financial results and outlook for 2026. For the past few years, we have been clear about evolving our business to deliver more solutions that involve technology. Have made investments in building out capabilities while strengthening our deep domain in line with this. This early start embracing technology solutions has helped us capitalize on the introduction of AI by helping clients navigate the path to success with these new advances. We see a vast opportunity in front of us today redefine our industry and add incremental value to clients. At the start of 2025, we started to execute on an internal plan to capture more of this opportunity and accelerate our evolution to a high-value intelligent transformation partner. To execute, we aligned our team around four key sets of actions. First, focus on complex work and high-value services to become our clients' preferred number one partner while deepening our relationship with them. Second, grow share of wallet by utilizing our extended offerings as clients consolidate the use of CX, BPO, and IPS vendors into fewer partners. Third, leverage our own IP investments and platforms to differentiate ourselves from competitors Fourth, and finally, drive incremental efficiencies so we can save to invest in these new areas of growth and opportunity. Reflecting on 2025, I am pleased with the progress have made along these four areas. First, high complexity work. This year, we were successful in reducing our non-complex work from 7% to 5% of our revenue. What we are most happy about is we did the majority of this by putting in our own technology to automate work. We also worked with clients to optimize their cost structure by re-solutioning existing work to take advantage of technology and our global footprint. In fact, in 2025, we invested $95 million in new capabilities capacity, facilities, security, footprint. This helped move 4% of our onshore business to offshore centers. This migration does result in some margin compression as we incur additional and duplicate costs for a period of time, However, by doing so, we captured share drove new solution sales, attracted new talent, and strengthened our position with our client base while providing a foundation for further growth into 2026. Second, wallet share. Striving to be number one in execution with our clients, has allowed us to grow our share of wallet by selling them additional solutions. Capitalize on these opportunities, we invested in retooling our go-to-market capabilities significantly through the year. We have retrained our entire sales and account management team upgraded 25% of this team with enterprise sellers, invested in SME supporting technology solutions, and developed a clear vertical offering while building out our partner organization for a little over $25 million of incremental spend. These results are now showing strong promise. A few data points. A 6% increase in the annual contract value of deals in the pipeline as we exited this year. And 9% increase in new wins year on year. A 14% increase in transformational deal values this year, a 23% increase in cross-sell/upsell deals this year, and a 37% increase in values for our new service areas this year. These data points help illustrate the business mix evolving more to technology-enabled specialist and adjacent services. We are now being recognized in enterprise circles as being a trusted end-to-end solutions partner. This has also helped drive our consolidation wins to record highs this year. Within our existing base, 98% of our top 50 clients now rely on Concentrix Corporation for more than one solution. Going into 2026, believe we have foundation to gain market and wallet share with the right clients doing the right business. Third, leveraging our own IP. 2025 was also a pivotal year as we launched IXSuite, our AI platform. This was an incremental investment of over $25 million in the fiscal year to develop, productize and commercialize our products. While the AI market is crowded and competitive, we have been very happy with our progress in differentiating and gaining adoption of our tech. Particularly with our IX Hero solution that augments and supercharges human advisers. We exited 2025 with over $60 million in annualized AI revenue of just our AI platform, reaching breakeven as we committed to at the start of the year. This is in addition to us selling third-party AI solutions and helping clients deploy their own AI investments. Now more than 40% of our new business includes some form of our own technology as part of the solution. This attach rate is well ahead of our expectations. Most importantly, our clients are realizing tangible results and impressive feat amidst a market backdrop of AI noise and failed promises. Fourth and finally, to drive efficiencies in our business. As I have laid out, we have been busy accelerating our evolution that has brought forward some costs. To offset as much of these costs as possible, we've been very disciplined in driving efficiencies in our own business so we can invest in the areas we have just talked about. We deployed significant technology internally and retooled many areas of our business to focus on our future state. This has allowed us to reduce our expenditures on non-billable resources and infrastructure by close to $100 million by run rate as we exit Q1 2026 and invest those savings in the areas that drive further future growth. Looking back at the successful operations of 2025, I am pleased with our results Through the year, we supported clients through significant tariff uncertainties, natural disasters, and geopolitical headwinds staying a valuable part of their ecosystem. Doing what is right for clients has allowed us to continually accelerate our revenue growth increase our CSAT, and develop a defensible model that blends technology and services. This year, we exceeded revenue expectations with steadily improving year on year growth every quarter throughout the year. For the fiscal year, we delivered 2% total growth in cost currency and exited Q4 with constant currency revenue growth above 3%. This growth was achieved even as we reduced the amount of low work in our business by 2% year on year, moved 4% of our onshore business to offshore and acted selectively in the business we took on. Our newer adjacent offerings have a growth rate reaching high single digits in aggregate and now represent a meaningful part of our business. The quality of revenue has never been stronger. Before I hand over to Andre S. Valentine, would like to highlight a few key wins in 2025 to bring life for investors how we have seen our offerings evolve. We were chosen by one of the largest banks in the world to design, build, and operate build, operate transfer model for the bank's highly complex investment banking asset security trading back office processes. We now have opportunities in multiple geographies with multiple lines of business to grow that relationship. Were selected by one of the largest car companies to manage their digital footprint providing insights, content, and warnings back to their head office, all being supported by our technology solutions. We have been recognized for helping scale their global presence and driving operational efficiencies. We took over a captive of one of our clients with the introduction of our own system and processes and have been able to achieve significant cost savings within the first year for the client while improving their customers' experience. This is resulting in further opportunity with the client to take over other shared service centers around the world. For one of our largest European banks, we proactively automated the entire intake of claims resulted in a larger award of business. To us that grows our revenue and our margins. We have launched a revenue generation program with one of the largest AI model makers helping them find sources of revenue and developing a community of integrators to use their technology, demonstrating even the leaders in AI rely on Concentrix Corporation for services. These are just a few of the magnitude of wins we have had our business in 2025 that demonstrate the value we bring to our clients. No matter if a client has their own operations or uses ours, uses our AI solutions, or is a true AI company, an emerging contender or a mature enterprise, are able to win, service, and grow these clients. Turning our thoughts to 2026. The demand environment continues to evolve and Concentrix Corporation wants to lead the way. For our clients, we believe scale matters in many ways. Cost optimized global footprint, breadth of offering, domain expertise across vertical, horizontal regions and technologies. We believe we're competing and winning in this market because we bring both the agility of an entrepreneur entrepreneurial organization the maturity and scale of an established market leader to deliver the innovation and excellence clients expect. Regardless of the fluctuation of our stock price in 2025, we're committed to evolving our business. Despite three years of speculation, we are proving that AI is a tailwind for our business. We are growing our revenue consistently quarter over quarter. We are entering new areas of TAM growth. We are generating strong cash flow. We are returning value to shareholders and we are paying down debt. In short, a valuation today is a stark disconnect from the underlying strength of our business and the upside opportunity of our long-term strategy. In summary, this is the right market and the right moment for Concentrix Corporation. We see a tremendous opportunity in front of us to refine our industry and deliver the solutions our clients need at the speed, scale and caliber they expect. We're making the right investments in the business to capitalize on these opportunities that continue to increase our quality of revenue, revenue that is longer term, margin accretive after implementation, higher complexity with multi-service consumption that drives tangible value for our clients. I am positive about our vision, our model, and our prospects for long-term profitable growth. And I'm excited about the road ahead. And now I will turn the call over to Andre S. Valentine.
Andre S. Valentine: Thank you, Christopher A. Caldwell, and hello, everyone. 2025 was a year of significant achievement for Concentrix Corporation. We accelerated revenue growth in each sequential quarter. We achieved breakeven profitability with our IX suite. We generated record adjusted free cash flow, growing our adjusted free cash flow by over $150 million from the prior year. We returned a record $258 million shareholders through a combination of our dividend and share repurchases, We reduced our net debt, We help clients manage through a dynamic geopolitical environment. We weather natural disasters, and we continue to diversify and broaden our value to clients through a diversified set of service offerings. With a successful 2025 behind us, I'm confident that we are positioned to grow revenue and cash flow in 2026. As Christopher A. Caldwell mentioned, we're on an exciting journey as a company. We're successfully evolving to become one of the world's most trusted partners for intelligent transformation solutions. Now let me review our financial results for the fourth quarter and fiscal 2025 and then discuss our outlook for 2026. In the fourth quarter, we delivered revenue of approximately $2.55 billion. On a constant currency basis, this represented growth of 3.1%, which is above the high end of the guidance we provided in September. On a constant currency basis, our revenue growth by vertical in the fourth quarter was as follows: Revenue from banking, financial services, and insurance clients grew 11%. Revenue from communications and media clients increased 7%. Revenue from travel clients grew 12.7%, and revenue from other clients also grew 7%, primarily reflecting growth with automotive clients. Revenue from technology and consumer electronics and healthcare clients both decreased by approximately 2%, reflecting shore movement, and underlying volumes. Turning to profitability. Our non-GAAP operating income was $323 million within the guidance range we provided on our last call. Non-GAAP operating income margin was 12.7%, a sequential quarter increase of 40 basis points compared with the third quarter as we work through the overcapacity related issues we discussed earlier in the year. On a year-over-year basis, non-GAAP operating income margins decreased from the 2024. Adjusted EBITDA in the quarter was $379 million a margin of 14.8%. Non-GAAP net income was $192 million in the quarter, and non-GAAP diluted earnings per share was $2.95 per share. In the quarter, we generated over $287 million of adjusted free cash flow, a quarterly record for Concentrix Corporation. In the quarter, we returned nearly $80 million to shareholders through a combination of our quarterly dividend and $56 million in share repurchases. Our GAAP net loss reflected a $1.52 billion noncash goodwill impairment charge recorded in the quarter. This impairment charge reflects the trading range of our stock during the quarter. A full reconciliation of our GAAP and non-GAAP measures is provided in today's earnings release. Looking at our results for the full year fiscal 2025, we delivered 2.1% growth on a constant currency basis, 60 basis points above the high end of the guidance range we provided a year ago, and above many peers. Non-GAAP operating income of $1.254 billion non-GAAP operating margin of 12.8%, adjusted free cash flow of $626 million an increase of 32% and more than $100 million over the prior year, We returned $258 million to shareholders Specifically, we repurchased $169 million of our common shares representing nearly 3.6 million common shares at an average price of approximately $47 per share. And we paid approximately $89 million in dividends during the year. Reduced our net debt by approximately $184 million during the year and we further reduced our off-balance sheet obligation related to accounts receivable factoring by $43 million during the year, to approximately $119 million at year end. At the end of the fourth quarter, cash and cash equivalents were $327 million and total debt was $4.639 billion bringing our net debt to $4.311 billion at year end. Our liquidity remains strong at nearly $1.6 billion including our $1.1 billion line of credit, which is undrawn. With this, let me now turn my attention to discuss our outlook for 2026. And the first quarter. We are confident in the growth of the business and believe we are making taking a conservative position on guidance for 2026. As Christopher A. Caldwell mentioned, we continue to strategically invest in the business for long-term growth, while continuing to drive strong cash flow. For 2026, our expectations include full year reported revenue, of $10.035 billion to $10.18 billion. Our guidance implies constant currency revenue growth for the full year in a range of 1.5% to 3%. Based on current exchange rates, our expectation assumes a 60 basis point positive impact of foreign exchange rates compared with 2025. Our revenue expectation is based on the following. Progress in evolving our business with our successful track record of growing market share and wallet share in our high growth verticals. Growth in new service offerings and a strong pipeline of the business entering 2026. At the same time, we also expect the proactive reduction of our non-complex work which will impact our revenue by approximately 1% in fiscal 2026 and resolutioning of our work to optimize our clients' cost structure which we think will impact our revenue by 2% in fiscal 2026. Moving to profitability. We expect full year non-GAAP operating income to be in a range of $1.24 billion to $1.29 billion. And full year non-GAAP EPS is expected to be $11.48 to $12.07 per share. This assumes interest expense of approximately $257 million approximately 60.6 million diluted common shares outstanding approximately 4.9% of net income attributable to participating securities. The effective tax rate is expected to be approximately 25%. Our view of profitability is based on our expectation that we will drive ongoing efficiencies in our cost structure through automation, and simplification of our business balanced by our investments in the business to support long-term growth. Including optimizing our footprint to meet client demand, incurring duplicate costs for a period of time as we resolution client programs and making intentional investments in our go-to-market spending. Including investment in technology, SMEs, and vertical offerings to take advantage of the current market opportunity and support the growth of our own AI platform. Our expectation is that we will drive sequential quarterly increases in non-GAAP operating income in the 2026 by removing duplicate costs while simplifying the business continuing the acceleration of our growth rate and progressing the delivery of the transformational deals we have won in fiscal 2025. Turning to cash flow. For full year 2026, we expect adjusted free cash flow to increase to a range of $630 million to $650 million through a combination of higher income, and lower interest expense. Our capital allocation priorities remain balanced. Expect spending on fiscal year 2026 share repurchases to be similar to that of fiscal year 2025. Taking advantage of what we believe has a significant disconnect between the fundamentals of our business and our current valuation. We are committed to maintaining investment grade principles repaying our debt to move closer to our target leverage ratio, and supporting our dividend. Turning to the first quarter, we expect first quarter reported revenue of $2.475 billion to $2.5 billion implying constant currency revenue growth of 1.5% to 2.5%. Based on current exchange rates, our expectations assumes a 290 basis point positive impact of foreign exchange rates compared with the 2025. Non-GAAP operating income is expected to be in a range of $290 million to $300 million. We expect non-GAAP EPS of $2.57 per share to $2.69 per share, assuming interest expense of $66 million, approximately 61.5 million diluted common shares outstanding and approximately 5% of net income attributable to participating securities. Effective tax rate in the first quarter is expected to be approximately 25%. As in prior years, we expect adjusted free cash flow in the first quarter to be slightly negative, although improved as compared to last year's first quarter. Followed by consistent strong cash flow generation over the remaining quarters of the year. Our business outlook and cash flow expectations do not include any potential future acquisitions or impacts from future foreign currency fluctuations. We're pleased with our market position. We have intentionally and strategically expanded our value by broadening our portfolio of offerings across the spectrum of business and technology solutions. Our success in doing this supports our confidence that our business is on the path to mid-single-digit growth. As Christopher A. Caldwell said, we're excited about the road ahead. With that, operator, please now open the line for questions.
Operator: Thank you. We will now begin the question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. To withdraw your question, press 1 again. Please stand by while we compile the Q&A roster.
Operator: Your first question comes from the line of Ruplu Bhattacharya with B of A. Please go ahead.
Ruplu Bhattacharya: Hi. Thank you for taking my questions. Christopher A. Caldwell, can you remind us on the metrics you focus on in terms of judging how much to invest in AI-related software and chatbot? And can you give us more details of your areas of spend in 2026, both in terms of OpEx and CapEx and how you will judge their success.
Christopher A. Caldwell: Hi, Ruplu. Thanks for the question. So first of all, when we look at our metrics on our AI, our pure own AI platform, we are very committed to making sure that we could be accretive this year and hit a certain revenue goal. And obviously, we achieved that kind of exiting the year with $60 million of run rate on sort of that total spend of around a little over $50 million give or take with $25 million incremental within the fiscal year 2025. Right now, we see the ability to continue to invest, but we want to continue to make sure that it's accretive to our business and we're doing the right things to not only control the market share but also make sure that clients in the right circumstances, are using our technology. A very crowded and competitive space right now, Ruplu, so we're being very entrepreneurial and running that business very much like a start-up in that space to drive the returns that we expect. We look at our capital allocation in terms of OpEx and CapEx for fiscal '26, our CapEx really historically has been anywhere from 2% to 3% of our revenue. And we don't see that very different in 2026. In fact, probably, Andre, two, two and a half percent is where we're going to come in at. From an OpEx perspective, what we're very focused and committed to, Ruplu, right at the moment, is driving OpEx spend that is variable and driving net new opportunities for our business. And so our go-to-market spend, we spent an incremental $25 million in '25. We're spending probably another incremental number reasonably in that level for '26. And we're seeing the benefits of it. You saw the stats where our cross-sell upsell, our deeper domain expertise, our technology solutions are all growing. Much more rapidly than we entered the year in '25 at our expectation is that we'll continue to drive that into '26. And we're looking at on a quarterly by quarterly basis to making sure that we're making the right investments and being very nimble in that space. In terms of the other large investments that we're making, we look at it aligned to our clients and the type of revenue we're driving. And so I go back to the quality of revenue comment We invested sort of $95 million in '25, that went into capabilities and facilities and footprint and security. All of those are really kind of tied to the new revenue that we're driving, the new transformational contracts that we're driving. And we can see by our models that as we finish the implementation, we start to finish some of those. Implementations. We're seeing accretive margins to our business. We're seeing longer-term relationships We're seeing more opportunities within that client base. And that's the return that we're looking for. And as we think of 2026, spending sort of similar amounts, expecting similar, if not better returns as we get more leverage off of our cost base.
Ruplu Bhattacharya: Okay. Thanks for the details there, Christopher A. Caldwell. Can I ask how do you determine whether it's worth supporting a customer as they may themselves face a slowdown and have lower call volumes? So in terms of the deals that may require more upfront investment, whether it's facilities or training, how is that determination made And what the levers do you have if you feel that the volumes are not materializing? How do you plan to deal with that situation?
Christopher A. Caldwell: Yeah. Ruplu, good question. I at first, make a sort of a clarification comment that call volumes have nothing to do with any of our thesis around investment. It's around the type of services that client needs. And if you look at the examples I gave, actually, none of those relate to call volumes. They all relate to other areas of work that we're servicing them. And when we look at a client of making investments, we look at how historically they buy. Are they a price shopper? Are they a long-term value-focused client? We look at do they want to be best in class within their market? And so we can help them enable that. We look at are they a client who consumes multiple levels of business and services, or do we have that opportunity? And we're very focused on sort of this long-term client relationship. So if you look at our top 25 clients, we're now close to almost eighteen years of service. We look for those types of clients with that type of longevity who, equally, we help support as they go through challenges, and they help and support us as we kind of evolve our business by consuming more goods and services. So it's a bit of both a qualitative and quantitative discussion around that. But so far, we've been extremely happy with what we've seen. And moving into some of these higher-end areas, we're seeing the same benefits that we've seen before.
Ruplu Bhattacharya: Okay. If I can sneak just one more in. At what rate do you think the market is growing at? Looks like you're guiding for low single-digit revenue growth in fiscal 2026 on a constant currency basis. Did WebHelp meet your expectations for synergies and growth And now going forward, how are you thinking about acquisitions? Thank you.
Christopher A. Caldwell: Yeah. So WebHelp absolutely met our expectations, if not a little better. I mean, a lot of the consolidation work that we're winning is because of our global footprint. And where we're able to service people from the technology that we were able to bring to the solution to WebHelp clients and some of the technology that WebHelp had that brought to the existing client base. We met our synergy goals, in fact, just slightly exceeded them from a cost take-up perspective. And we're seeing that ability drive that new growth in the business. And in fact, a fairly reasonable size of that 4% movement from onshore/offshore came out of Europe into other markets, which was traditionally the WebHelp business. And so we've been very, very happy with that because it's driving the right type of business that we want. From a market perspective, look, the traditional CX market is flat. Overall. When you look at some of the other services that we're talking about, it's mid-single digits. And as we talked about in the prepared remarks or in my prepared remarks, have a lot of these services that are now a meaningful part of our business. Growing at high single digits. And so we're winning in the right markets doing faster than what people would, I think, expect. And in the sort of the business that from a CX perspective, I think we're taking share and doing well in that market as well.
Ruplu Bhattacharya: And acquisitions?
Christopher A. Caldwell: Sorry. From an acquisition perspective, look, We are going to be opportunistic. We're going to do things that support our client base. We're going to do things that have the right financial profile for us. And drive the right long-term business. And so as Andre S. Valentine talked about, we're very focused on kind of reducing our debt to our target leverage ratio. And so we don't have anything kind of on the works, but, definitely, we will participate in the consolidation in the marketplace.
Ruplu Bhattacharya: Thank you for all the details. Appreciate it.
Christopher A. Caldwell: Thank you, Ruplu.
Operator: Your next question comes from the line of David Koning with Baird. Please go ahead.
David Koning: My biggest question is really on margins. You know, when we look back a couple of years, 14%. This year, you're guiding to about 12.5%. Seems like there was a lot of discrete kind of investment and some one-off capacity, excess capacity around the tariff in the mid-mid kinda mid last year time frame. Are we just dealing with kind of an April, Q2 of this year, meaning it's down year margin's down year over year, but by the back half, is there reason to believe they will be up year over year and sustainably up after that?
Andre S. Valentine: Yes. So in answering that question, you're right. And in my prepared remarks, I mentioned that we expect to see sequential improvement in the back half of this year. In margins. As we complete working through some of the overcapacity issues around the tariffs, we made good progress on that in the fourth quarter. As we move through some of the process of implementing some of the transformational deals that we've won in 2025 and get closer to kind of the run rate profitability of those deals. And as we move forward with automation efforts and the simplification of our business, to take out some of the duplicate costs that we currently have that are created by some of the resolution that we've talked about and some of the costs that come with some of these transformational deals as well. So all those things give us confidence that we can see the margin improve in the back half of the year, which mathematically will get you to a situation where we're looking at year-over-year margin increases as we close out the year. Yes. Okay. And then just momentum. Revenue growth accelerated each quarter of the year. So momentum actually seems very very good. You're guiding a little less than the 3% constant currency growth in Q4, you did 3%, but you're guiding a little less than that in '26. Is there really anything behind that other than just pay it the full year? You don't wanna get ahead of yourself?
Andre S. Valentine: That's really it, David. Oh, you know, we talked about all throughout the fiscal 2025 about the fact that we're being conservative for the revenue guide, very focused in each quarter and for the full year and coming in in 2025. At or above the high end of the guidance range. Our principles, we think about our guidance for 2026 with regard to that, haven't changed. And so there is nothing that's going on underneath the covers that would imply any sort of slowdown in things. In fact, we're quite confident that we can continue the trajectory of sequential quarterly revenue increases. As sequential acceleration as we go through fiscal 2026.
David Koning: Great. Thanks, guys.
Andre S. Valentine: Alright. Thank you.
Operator: Your next question comes from the line of Luke Moore Morrison with Canaccord Genuity. Please go ahead.
Luke Moore Morrison: Hey, guys. Thanks for taking the question here. So last year's results you know, you mentioned laid out several deliberate growth drag run off of low complexity work, those onshore to offshore transition, we it looks like you expect some of those to persist in '26. I think, resulting in aggregate 3% headwind to growth. Can you just help us think about sort of the lingering or continuing effects of those headwinds over the long term, you know, this year, next year, on fourth?
Christopher A. Caldwell: Yeah. For sure, Luke. So from a low complexity work perspective, we did 2% in '25. We expect 1% in '26. Always expect there'll be some portion of low complexity work as part of our portfolio. So that kind of wanes to weed off to less headwinds in '27, frankly. We just don't see a big push past that. From an offshore work perspective, we have about 15% give or take, of our revenue that could possibly go offshore. But the reality is that some clients have brand promises to do things onshore. Some things from a compliance perspective can't go offshore. Some markets and some things that we service are highly sensitive from a sovereignty perspective. And so when you think about that 4% move this year and what we're kind of leading to next year, you're weeding through that pretty quickly. And as we've talked about for the last gosh, Andre S. Valentine probably a year and a half, really the vast majority of work that we are winning right now, vast, vast, vast majority of work is being put where it should stay and not move from. And so you're not rekindling this top of the funnel. You're really kind of optimizing what we've already got in place.
Luke Moore Morrison: Excellent. And maybe just a follow-up I think you mentioned high single-digit growth in some of your adjacent services. Could you just double click there and unpack that? Like, what are you seeing Where are you seeing the most momentum, etcetera?
Christopher A. Caldwell: Yeah. So if you look at a lot of the specialized services, whether it be data annotation, analytics, FC and C, so financial crimes and compliance, any money laundering, are some of our IT services within that space, some of our revenue generation capabilities and digital assets in that space. In fact, you're probably getting close to 20% of our revenue. That is growing at high single digits.
Luke Moore Morrison: Okay. Great. Thank you.
Operator: Your next question comes from the line of Vincent Alexander Colicchio with Barrington Research. Please go ahead.
Vincent Alexander Colicchio: Yeah, Christopher A. Caldwell. I didn't hear too much about consolidation I know that some a theme that's been strong for you. So how does that look in the quarter? Are there still legs to that?
Christopher A. Caldwell: Yeah. We expect there's gonna be a lot of consolidation. There was in this quarter. There's a lot more going into 2026. And I think is what we kind of commented about driving the share of wallet in our clients. Clients are consolidating with us because not only can we do their CX and BPO, but we can also do their IT services and vice versa, by the way. In the quarter, we actually picked up some IT client or sorry. Had some IT clients that we picked up some of their CX and BPO services from which most people might not realize that we're actually doing. Clients are looking for stronger partners, more mature operations, global scale security, a lot of things that we've been investing in to consolidate with. And we're doing very, very well in that space.
Vincent Alexander Colicchio: And what is the how does the pricing look in the traditional CX business? Is pressure increasing?
Christopher A. Caldwell: So in commodity work, it's very, very, very competitive, Vince. Very competitive. I think people are chasing a lot of volume for volume versus quality, and so we're seeing that as being very competitive. I think in the rest of the business, look, it's always competitive, but it's reasonably competitive if that makes sense. And people do the right business. And we've been very selective on the types of work we get, What we're most focused on, as we talked about, is driving the quality of revenue which is margin accretive when we get past implementation. Complex work that is sticky and hard to do that's really driving a lot of value for the client so that they see us as being a valued partner to their business.
Vincent Alexander Colicchio: And are you finding it are you experiencing any challenges accessing talent as you move into higher-end solutions?
Christopher A. Caldwell: Yeah. So, look, we spent more this year than I think some people were expecting to get that talent. We haven't necessarily found problems but we also have a global footprint that we can pull from, and that's been very, very helpful to us because we are in so many markets We are able to access a very, very robust talent pool for it and we are making sure that we harness that and utilize that strategically.
Vincent Alexander Colicchio: Thanks, Christopher A. Caldwell.
Christopher A. Caldwell: Thank you.
Operator: There are no further questions at this time. This concludes today's call. Thank you for attending. You may now disconnect.